Operator: Ladies and gentlemen greetings and welcome to the Hawaiian Holdings, Inc. Third Quarter 2023 Financial Results Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Ms. Marcy Morita, Managing Director of Investor Relations. Please go ahead.
Marcy Morita: Thank you, Ryan. Hello, everyone and welcome to Hawaiian Holdings third quarter 2023 results conference call. Here with me in Honolulu are Peter Ingram, President and Chief Executive Officer; Brent Overbeek, Chief Revenue Officer; and Shannon Okinaka, Chief Financial Officer. We also have several other members of our management team in attendance for the Q&A. Peter will provide an overview of our performance, Brent will discuss revenue and Shannon will discuss costs and the balance sheet. At the end of the prepared remarks, we'll open the call up for questions. By now, everyone should have access to the press release that went out at about 4 o'clock Eastern Time today. If you have not received the release, it is available on the Investor Relations page of our website, hawaiianairlines.com. During our call today, we refer at times to adjusted or non-GAAP numbers and metrics. A detailed reconciliation of GAAP to non-GAAP numbers and metrics can be found at the end of today's press release posted on the Investor Relations page of our website. As a reminder, the following prepared remarks contain forward-looking statements, include statements about our future plans and potential future financial and operating performance. Management may also make additional forward-looking statements in response to your questions. These statements are subject to risks and uncertainties and do not guarantee future performance and therefore, undue reliance should not be placed upon them. We refer you to Hawaiian Holding's recent filings with the SEC for a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. These include the most recent annual report filed in Form 10-K as well as subsequent reports filed on Forms 10-Q and 8-K. I will now turn the call over to Peter.
Peter Ingram: Hello, Marcy. Aloha, everyone and thank you for joining us today. I want to start-off by thanking our dedicated and compassionate team members, who continue to deliver outstanding hospitality to our guests in an ever-changing external environment. This quarter, as tragic wildfires destroyed parts of Maui, my colleagues once again rose to the occasion and answered the call for our guests and the communities we serve. And even as we face more than our fair share of challenges, our team remains focused on important initiatives that make us a better airline, including the debut of Amazon Freighter flights early this month, the unveiling of our 787 interiors and the successful first of type installation of Starlink Wi-Fi on an A321 aircraft. I'll talk more in a few moments about each of these initiatives. Before that, I'll delve a bit more deeply into the events in Maui. While today we will necessarily address the economic consequences, we must not lose sight of the enormous human cost of the tragedy. We're a Paganic community and everybody at Hawaiian knows someone whose life was touched by this tragedy. For the first 3 days following the fires, we had a very focused mission with 3 essential elements. As the largest provider of passenger transportation to the islands, we took the lead in the evacuation of displaced visitors and residents and getting first responders to where they needed to be. We made sure that we supported our team on the ground in Maui Airport, with whatever resources they needed. And we confirmed that each of our 500 plus teammates who live or work on Maui was safe. Each of these objectives was achieved in the 72 hours following the fires and we continue to support what will be a long recovery for the community through charitable giving and the volunteer activities of our team. In the immediate aftermath of the tragedy, new bookings to Maui slowed to a trickle and we saw large volumes of close-in cancellations for Maui trips. A portion of this close-in business shifted to other islands, notably Kauai. Booking trends stabilized in the weeks that followed and cancellations have abated but it will be a while yet before demand fully returns to the robust levels we saw earlier in the summer. Load factors, both on our North America and Neighbor Island flights to and from Maui, remain below typical levels but are improving. October will be better than September which at a low point in load factor's and the trajectory we're seeing is encouraging. In the current environment, accommodations inventory has not been a constraint. Rather, it has been the hesitation of travelers about coming to Maui in the wake of the fires. It is important to note that almost all of West Maui's hotels were physically unaffected by the fire and the phased reopening of properties nearest to the wildfire area began earlier this month. Yesterday, Maui County announced that this phased reopening will be extended to all of the key West Maui resort areas on November 1. On September 5, we updated our guidance to incorporate the impact from the wildfires to revenue for what we knew at the time. And later in this call, Brent will provide more details on the current outlook. The other significant near-term challenge we've been navigating is the availability of our A321 fleet. Just before our last quarterly call, we learned of new inspection requirements for the Pratt & Whitney engines that power these aircraft. The impact is understood at the time was incorporated in our September 5, investor update. Since then, in addition to receiving more details about inspection requirements beyond the end of this year, we have also seen a number of engine removals not associated with the powder metal inspection issue. These removals contributed to an elevated cancellation rate in the early days of the current quarter. We currently have 2 aircraft grounded which is an improvement over the earlier part of this month and expect to have between 2 and 4 aircraft out-of-service at any point in time over the next few months. In response to the most recent engine removals, we have adjusted our schedules to accommodate up to 4 out of service aircraft through 4Q and into the beginning of next year. We expect the situation for 2024 will improve, as our engine inventory will be bolstered by the return of several engines that are already in the MRO pipeline. We have reached terms with Pratt & Whitney on short-term compensation for their failure to provide required engine spares over the course of the past several months but this interim agreement will expire later this quarter. We're in ongoing discussions with Pratt on further compensation beyond the scope of the short-term agreement and most importantly, to provide more certainty about engine availability so that we can plan more effectively for the medium and long-term. After some external challenges to reliability in the first half of the year, our on-time performance steadily improved from July to August to September. The latest published DOT report for July showed us reclaiming the number one spot in the industry on-time performance. And I expect our August and September results to be at or near to the top of the pack. In October, as I noted earlier, we have experienced a bout of cancellations primarily driven by the A321 fleet. That underscores the importance of getting more certainty about the availability of engines. We are encouraged by the improved performance in the third quarter and will not be satisfied until we are once again consistently at the top of the industry for operational performance. I'll now touch on a few highlights of our commercial performance that Brent will address in more detail. Up until the wildfires on Maui, our revenue was tracking ahead of the expectations we had entering the quarter, with particular strength, from the U.S. Mainland to Hawaii. Sydney and Incheon continue to produce strong results. International performance was not materially affected by the Maui wildfires. On the Neighbor Island front, we continue to comprehensively outperform Southwest by wide margins in terms of load factor and unit revenue. These facts reinforce our conviction that the way we take care of our guests and deliver authentic Hawaiian hospitality makes us the clear carrier of choice for travel between the islands. In Japan, the encouraging trends we noted during last quarter's call continued through the summer. Since May, we have seen a sustained recovery of Japan point-of-sale bookings on top of the ongoing high level of U.S. point-of-sale demand. In the coming quarters, we'll see an increase in supply in the Japan to Hawaii market as relief from use it or lose it requirements for slots and route authorities expire at the end of this month. We'll need to see continued recovery in Japan point of sale demand to keep pace with this increasing supply. But the trend is encouraging and certainly a welcome change from where things stood at the beginning of the year. We also aren't slowing down on our execution of initiatives as we take important projects across the finish line and achieve major milestones on others. On October 2, we flew our first A330-300 freighter revenue flight from Cincinnati to San Bernardino. As a reminder, this is the beginning of a contractual relationship that envisions initial growth to a 10 aircraft fleet in the months ahead. The first flight this month was a significant milestone as we embark on this new venture to provide important diversified growth for our business. Continuing on a positive note, we announced the initial route deployments for our new Boeing 787 Dreamliner. The aircraft will debut on our April 15 flight from Honolulu to San Francisco before transitioning to flights between Honolulu and Los Angeles, as well as Maui and Los Angeles in May. We have firm orders for 12 787 scheduled between early next year in 2027. We also have several A330 passenger aircraft leases ending in this timeframe, giving us options to balance growth and replacement. We're excited to get this fleet in the air next year. It's not only the vehicle of growth for our passenger business for the next few years but the larger 34 seat premium cabin allows us to expand this high performing margin enhancing element of the business. Earlier this month, we completed the installation of Starlink connectivity on an A321. The installation and testing was successful and we are currently completing the FAA certification process before installing the technology on the rest of the A321 fleet. We'll go through the same process with the A330 fleet next year. As a reminder, we're the first major airline to deploy this product and it will be the fastest, most capable Wi-Fi available. Our award-winning hospitality already makes us the preferred carrier in the markets we serve. Complementing this with an unparalleled Wi-Fi experience will further set the Hawaiian experience apart and grow our revenue premium. I'm immensely proud of what our team is accomplishing and the dedication of our employees. They're aloha for one another and the unmatched hospitality they extend to our guests and the communities we serve will ensure Hawaiian success in the years ahead. In a few weeks, we will celebrate 94 years of service to Hawaii. As I reflect on this 94th year which has had its share of challenges, I know that all of those challenges, whether engine issues or market issues or otherwise, are near-term and transient. The core strength of our brand and business model and the effect of the major investments we are making now will be durable and create value into the future. Now, let me turn it over to Brent to go over our commercial performance and outlook in more detail.
Brent Overbeek: Thank you, Peter. Aloha, everyone. In the third quarter, system RASM was in line with our revised guidance, down just under 6% year-over-year. Total revenue for the quarter was down about 2% and we operated 4% more capacity versus the same period in 2022. Our capacity came in on the lower end of the guidance due to the reductions made to accommodate the Pratt & Whitney engine shortfall. As Peter mentioned, leading up to the Maui wildfires, demand was strong and revenue was trending positively, with RASM slightly ahead of guidance. Immediately after the fires, demand and market pricing to Maui rapidly declined, resulting in deceleration of RASM momentum, disproportionately concentrated in the Maui market. The impact from the wildfires amounted to approximately $25 million in lost revenue and for context, leading up to the fires, the Maui market represented approximately 22% of our system revenue. In looking specifically at the North America entity prior to the fires, demand was strong and unit revenue was up about 3% year-over-year. Following the Maui fires in early August, there was a sharp deceleration in demand for Maui travel over the remainder of the quarter. This resulted in North America entity PRASM finishing down 10.5% year-over-year for the post-fire portion of the quarter. And PRASM was down 41.7% year-over-year for the Maui markets in the same period. On our Neighbor Island routes, the fires had a significant impact on both demand and average fare. Third quarter load factor was 74%, down 5 points year-over-year, on a 9% increase in capacity. The competitive dynamic in the market remains the same. We continue to compete strongly for volume and have maintained our significant lead over Southwest in load factor and PRASM. The most recent DOT statistics for the second quarter show us at a 75% load factor compared to 47% for Southwest and a PRASM of $0.301 compared to a $0.15 PRASM for Southwest. These results demonstrate clearly that we are the inter-island carrier of choice. Although, we are now lapping Southwest's $39 fares with last seat availability from last year, the Maui wildfires had depressed average fares for a period of time. That said, we are seeing recent improvement in average fares, signaling that the low point for yields is likely behind us. We saw a tangible recovery in Japan during the third quarter. Load factors were in the upper 80s and approaching historical norms on a smaller capacity base for Hawaiian and the industry. Third quarter industry capacity was about 56% of 2019 and we expect total Japan to Hawaii industry capacity to increase to almost 70% of 2019 levels by the end of the quarter. With capacity increasing, we've seen sequential slowing in unit revenue but anticipate that improves as we head into 2024 and Japan point-of-sale traffic continues to recover. In our international network outside of Japan, U.S. point-of-sale traffic remained very strong. Our New Zealand, Australia and Korea markets have not been significantly impacted by the Maui fires. Passenger revenue for our international routes, including Japan, is up over 90% for the third quarter this year compared to 2022. Korea in particular continues to be a strong market. Average fares in Australia and New Zealand are positive compared to 2019 but we are facing some difficult comps due to the surge of pent-up travel demand in 2022. Last week, we announced that we will turn our year-round thrice-weekly Honolulu to Auckland service into a seasonal route during the New Zealand summer. Auckland demand remains strong in the summer season, reinforced by strong U.S. point-of-sale traffic and this move to seasonal service reflects our focus on being more nimble and adaptable with schedules to address demand seasonality across our network. Our co-brand credit card had another good quarter, with third quarter revenue up almost 2% over the same period in 2022. This year's strong credit card performance, particularly on new card acquisition, reinforces our confidence in the growth potential of this business and the deep demand for Hawaii vacations as a favorite reward for cardholders. Looking ahead to the next quarter, non-Maui bookings continue to improve, albeit with lower fare levels in the main cabin. Maui bookings have been improving, especially closer to departure, although it significantly reduced yields. For international, we're satisfied with the return of Japan point-of-sale demand which is creating a larger overall demand pool for our service, albeit at fares in the short-term that are sequentially lower than we anticipate going forward. While we are seeing continued year over year improvements in international RASM, the growth is sequentially slower compared to the third quarter of 2023. For the network as a whole, we expect RASM to be down approximately 11.5% on capacity growth of about 3% for the fourth quarter compared to the same period in 2022. Headwinds to RASM are similar to those shared in previous quarters with the addition of short-term effects of the Maui fires. These headwinds include 6 points from the deterioration in revenue due to the Maui fires which we anticipate will improve over time. About 4 points in spoilage and this should be the last quarter of a challenging comparison, as we lap last year's high watermark for spoilage. And about 1 point from cargo, as activity normalizes to 2019 levels from the highs of 2022. Now that we have better clarity for the remainder of the year on the engine shortfall from Pratt & Whitney and the impact from the Maui fires, our capacity guidance for the full year has been revised to up 7.5% to up 8.5%. We continue to remain confident in the core revenue-generating capability of our business. We are the carrier of choice and outperform competitors in each of the core Hawaii markets that we serve. The headwinds on fares and demand we are facing from the Maui wildfires should be short term in nature and we will overcome those in time. The A321 engine issues are a near term challenge but with the arrival of our 787s, we're looking forward to opportunities for longer haul growth in 2024. Once we obtain certainty on our A321 engines, we're also encouraged about the plans we can develop with our expanded fleet. And with that, I'll turn the call over to Shannon.
Shannon Okinaka: Thanks, Brent. Aloha, everyone and thank you for joining us today. We ended the third quarter with an adjusted EBITDA loss of about $12 million, or an adjusted loss of $1.06 per share which is about $40 million lower than we had forecast at the beginning of the quarter, primarily driven by the impact of the Maui wildfires and increase in fuel prices. Unit costs, excluding fuel, came in at the higher end of the updated guidance range from September 5, primarily due to lower than expected capacity as a result of the A321neo engine and operational challenges. Given the close-in nature of the cancellations, it was difficult to significantly reduce our costs to match the decreased capacity, although certain variable costs, such as fuel consumption and landing fees, were avoided. With respect to our balance sheet and liquidity, our cash position decreased in the third quarter, resulting from normal ATL seasonality, exacerbated by refunds and reduced bookings as a result of the Maui fires. With that said, we have $1.4 billion of liquidity which includes a $235 million undrawn revolver which is about 50% of our trailing 12-month revenue and twice our pre-pandemic liquidity target. While our liquidity remains strong, we will likely finance the first several of our 787 deliveries. We received proposals from several lenders and lessors and we'll finalize our financing plan for 2024 soon. In addition to our existing unencumbered assets, the 787 is a very financeable airplane and Hawaiian is an attractive name to the financing community. Our fourth quarter costs remain elevated as we approach the conclusion of preparations to bring the 787 and A330 freighters into service throughout 2024. We're currently carrying about 25% more pilots on our payroll than we did in 2019 for about the same amount of capacity. As the capacity that we're planning for comes online, our training bubble will deflate and pilot productivity will improve. We expect this improvement to grow throughout 2024 and decrease from a CASM impact of $0.26 in the fourth quarter of '23 to $0.14 in the fourth quarter of '24 at the then current pilot rates which is a 50% improvement. We expect our fourth quarter unit costs, excluding fuel and special items, to be about 8% higher than the same period in 2022, with similar drivers to the prior quarter, including approximately 5 percentage points from increases in labor costs and benefits which result primarily from the new pilot contracts and the higher number of pilots in training and other rate increases. About 1 point from a higher number of heavy maintenance events, 1 point from higher airport rates and 2 points for close-in cancellations which resulted in lower capacity, partially offset by Pratt & Whitney compensation credits for grounded aircraft. Commensurately, we expect our full year CASM ex guidance to be up 4% to 5.5%. We expect the benefits from initiatives such as our A330 maintenance insourcing, our new passenger service system and CBA-related work rule changes to ramp up in 2024 as these investments mature. And we will pursue further operating cost improvement through continued investment in technology and analytics to drive increased productivity. Turning to our fleet plans, we have executed 2-year extensions for 4 A330 leases that would have otherwise expired in 2024. In addition to ownership cost improvements, the extensions will collectively enable us to maintain our network plans and mitigate the impact of the ongoing A321 engine challenges. Including the new lease terms on these aircraft, we have a total of 12 aircraft leases that will expire between 2025 and 2029, if not extended. It's exciting to be at a point where we'll soon start to see an acceleration of the benefits from investments that have been drivers of increased expense this year. While we're facing a number of near-term challenges, the durable financial foundation that we have built enables us to endure them and emerge stronger. If the last few years have taught us anything, it's how to be nimble and adjust to circumstances which we'll continue to do as long as necessary. And with that, we can open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Conor Cunningham with Melius Research.
Conor Cunningham: When looking at passenger trends to Hawaii, it seems like inbound travelers from Japan, I know that recovery has kind of stalled out the last 2 months or so through October. Just curious if you're actually seeing that in the data right now. And then maybe any thoughts on what the thought on it is. I know, Brent, you mentioned, the lower fares and whatnot and I'm just curious on the recovery. It just seems like it should be doing better. I didn't know if there's any, like, Maui impact from that as well.
Brent Overbeek: Yes, Connor. Japan had a really strong August holidays and so the front and middle part of the month there performed exceptionally well. And there was -- we had some of our own and there was some additional industry capacity in that window. And so, certainly that helped with arrivals. They have -- we were still running kind of load factors in the mid to upper 80s and so demand overall remained strong. As we alluded to, certainly, we've got some more capacity online. The industry has more capacity coming online in the fourth quarter. That is generally getting filled up but like I said in my prepared remarks, it is -- we're starting -- we're seeing a little bit of what we believe is kind of short-term pressure on Japan point-of-sale yields as that capacity comes back online. But we're also encouraged with the strength of the U.S. point-of-sale market and the amount of traffic that we're generating there.
Peter Ingram: And maybe just to follow-up that a little bit and underscore something that Brent said in his answer, it's been a while since we saw strong traffic coming out of Japan, so it's probably useful to remind people that there is a seasonality to it. And seasonality really has a pretty strong peak in late July throughout the month of August and into the early part of September. And so some of what you may be seeing in the numbers, Connor, is just reflecting of the run-up towards very full flights on that peak and then a little quieter period now before things pick up seasonally again towards the end of the year.
Conor Cunningham: Okay. I'm much better with straight lines. I know it's a little bit easier for me then. On the GTF stuff, your schedule capacity, I think, is down 2 points from just last week and I think, your guidance today kind of implies another 1 point deceleration. Just -- is that the type of lead time that they're giving you? Just -- it seems really tough from your standpoint to manage the business, where they're only getting like a 2-week heads-up on a one-shot business need to happen? And then maybe within that, is the Amazon flying included in your capacity guidance, or is that something that's separately block hours or whatever?
Peter Ingram: Yes. Let me start with the GTF and Brent can correct me if I'm wrong but essentially what we've talked about on the call today in terms of our outlook for the schedule and having for, the ability to withstand over the next few months for AOG is reflected in the schedules that are published now. All that information was published, so there's not another shoe to drop that we are aware of at this point from that. I would say, we had a pretty clear picture about what the inspection issue would drive for the back part of this year. Those were a number of removals that we were required to make by September 15th which is the news we got just before our call 3 months ago. What changed in late September and into October that has required us to cut a little further here is we had some unscheduled removals which can and does happen on any fleet from time-to-time. But in the circumstance we're in right now where there are limited to no spare engines available on the market to support that, every one of those removals drives another aircraft on ground, because we aren't sitting with a bunch of spare engines in our hangar right now to be able to accommodate that, although, candidly, from a contractual standpoint, we should be having that but we don't have those spare engines available. So, we've tried to adjust the schedule now to provide a little bit of buffer, so we don't end up in a situation like we did over the last couple of months. I will admit my crystal ball is not perfect on this but we do feel better about the engine availability situation as we get into the first quarter and really, the back part of the first quarter and further in the year, we have a number of engines that are in the MRO pipeline right now that are coming back. So, from a Hawaiian Airlines perspective, our engine availability should be improving as those come back but they're -- obviously, the situation has been frustrating and we have been living a little bit too close to a razor's edge in terms of the ability of the market to withstand it and, we really do need Pratt to provide us with more certainty going forward. I think the other part of your question was about the Amazon flying, the freighter flying and whether that affects our statistics and, certainly it wouldn't affect ASMs. I think it is incorporated into our expectations about fuel burn and our consumption and so it's built into the economics and the guidance as well, the cost impact is reflected in the guidance.
Shannon Okinaka: Yes, Connor, obviously, there are no seats on those aircraft, so they're not in ASMs. We do have the impact included in our RASM, CASM ex fuel guidance but really for the fourth quarter, they're really small. As it starts to get -- have a bigger impact, we'll break it out for you just to at least show what the direct cost impact is to CASM and revenue for RASM.
Operator: Our next question comes from the line of Michael Linenberg with Deutsche Bank.
Hillary Cacanando: This is Hillary Cacanando calling in for Michael Linenberg. So you mentioned that you have reached a short-term compensation agreement with Pratt & Whitney. And last quarter, you said that you'll get compensated in the form of maintenance credits. Is that still the case? Or has that changed at all to perhaps increased cash compensation? And could you talk about what the timing of that payment will be?
Peter Ingram: Yes, so the compensation is in the form of maintenance credits. We -- it gets recorded as an offset on our maintenance materials and repairs line. And effectively, it helps to offset payments we would make for power-by-the-hour charges.
Hillary Cacanando: And then will that be reflected for the fourth quarter in terms of timing?
Shannon Okinaka: It will be reflected as we use the credits. So as we start incurring power-by-the-hour charges, we'll offset the credit.
Peter Ingram: We've been accruing that over the past couple of quarters. So it is reflected in the third quarter and I think some may have been reflected in the second quarter as well and it does carry into the fourth.
Hillary Cacanando: Okay, got it. And then you announced a new flight, to Tokyo Haneda. I was just wondering if you could talk about how the bookings have been looking?
Brent Overbeek: Yes, I would say bookings are certainly looking solid. Haneda in particular, it looks quite good as we continue to ramp our capacity up in the fourth quarter and I think overall, we're encouraged with demand, particularly the strength of U.S. point-of-sale demand and we'll continue to build on Japan point-of-sale. So I think overall, we feel positive with where we're at in Haneda.
Operator: Our next question comes from the line of Catherine O'Brien with Goldman Sachs.
Catherine O'Brien: I guess first, I want to say my thoughts have been with you all since the devastating Maui wildfires. And I had a question on Maui. So I know you've spoken to the impact on demand and lost revenue in the quarter with things still trending below normal historical but starting to pick up. Can you just speak to how bookings look for Maui for the holidays and any early look on spring break into next year?
Brent Overbeek: Yes. So right now, the holidays, both kind of Thanksgiving and Christmas generally look pretty good. Pricing, those are really strong demand periods and so average fares in those remain pretty strong. So I think we're encouraged with that, I would say, in the context of spring break. It's still a little early on that, where load factors at the end of the first quarter there are still relatively low and there was a bit of a pause around the event where folks were a little bit uncertain about planning further out travel. We have seen -- as we mentioned in our prepared remarks, Katie, that in close demand has been pretty strong and so I think things have been pretty -- have been fine for the spring. But as we get out of the fourth quarter and into the first quarter, we anticipate those will continue to strengthen.
Catherine O'Brien: And then a 2-part question on 787, if you'll allow it. I guess first quickly, why is that starting service on the West Coast? Is there some like operational consideration? Or I just figured that would ultimately be deployed international? And then maybe one for Shannon, just like, as you send out the RFPs for the financing of those first couple 787s, what markets are initially looking attractive? I've heard sale leasebacks have gotten a bit more expensive over the last 6 months but not sure if on a relative basis, that's still more attractive than, traditional debt financing, given where interest rates are today.
Peter Ingram: Yes. Why don't I take the first part of that and then turn it over to Shannon to talk about the financing. It's actually quite an insightful question, Katie, because as I think about the 787, it is our most fuel-efficient -- will be our most fuel-efficient long-haul airplane. It's got greater capacity and it's got a big premium cabin, so you want to put it in a market like New York, where you really check every box of high premium demand ability to fill up the airplane even on days in the middle of the week and really take advantage of the fuel efficiency. There are operational considerations that compel us to put the first one on the West Coast, though. One is we need a place where we can do overnight maintenance on the aircraft and that is initially going to be in Los Angeles, as we start ramping up. And we need a place where the aircraft is going to be on the ground for 8 to 10 hours a night so that every third day or so we can get some maintenance attention on it. And we don't have that on our longer-haul flights, where the aircraft tend to turn after being on the ground for just a couple of hours. The other thing it helps us with is building up initial experience for our pilots on that aircraft. They -- having a shorter route to the West Coast gives us more takeoffs and landings and the ability to build up that experience. And so those 2 factors push us to starting on the West Coast but we're definitely going to want to stretch the legs of that aircraft as we get deeper into '24 and into 2025.
Shannon Okinaka: Yes and I'll take up the RFP on financing. To your point, we are looking at a variety of different vehicles. Unfortunately, we're not going to get to the sub-1% Japanese yen debt that we did back with the A321neos but we're finding that there is a lot of opportunity, albeit a little bit more expensive than what we've had on our books prior but we see the regular debt financing markets, the public markets, as well as some opportunities in Japan that we're pursuing. So we're still in some of the initial phases of the process but we'll provide updates as we progress.
Catherine O'Brien: I'm sure we'd all love some sub-1% financing.
Operator: Our next question comes from the line of Andrew Didora with Bank of America.
Andrew Didora: First question for Brent. Just wanted to ask about kind of Japan and the cadence of the recovery expectations there. I think you said in your prepared remarks that Japan capacity would be 70% recovered by the end of the fourth quarter relative to 2019. How are you thinking about the build back there in 2024? And when do you think your Japan entity could be back to 2019 levels of capacity?
Brent Overbeek: So, we think that kind of industry, 2019 ends up with a little bit of a strange comp as you flip from 4Q to 1Q. We -- from what we see in kind of industry schedules, industry capacity excluding us is pretty flat quarter-to-quarter as we go from December into the first quarter. We ramp up a little bit more capacity in terms of our night slot and service to Kona and our midnight frequency to Honolulu. And so that will ramp itself up over the first quarter and have a little bit more growth in Japan capacity. Obviously, the longer -- the further we get away from Japan opening up is allows greater time for booking curve and allows more traffic to come on the books. And so we're trying to match our capacity coming back in line with Japan point of origin travel in particular continuing to strengthen.
Andrew Didora: And then maybe a 2-parter for Shannon. Thank you for the color around liquidity in your prepared remarks. Do you have -- what percentage of your assets are currently unencumbered? And then the second part of my question, are you seeing any credit card holdbacks given the cancellations you're experiencing?
Shannon Okinaka: Yes, I don't know the exact percentage but we've got a number of aircraft that remain unencumbered to the value of about $560 million. On the credit card holdbacks, no, we're not seeing anything like that. I think we've still got a very strong business. Bookings are beginning to build back. So we haven't had even any discussions about things like holdbacks.
Operator: Our next question comes from the line of Helane Becker with TD Cowen.
Helane Becker: I just have a couple of clarification questions, actually. I saw an article this morning that talked about you guys signing up Lufthansa Technik to do A330 and A321 maintenance. And I'm just kind of wondering if that article is accurate and what the timing of that will be?
Peter Ingram: Yes, the article is accurate. I believe the agreement there is for Lufthansa Technik to provide component support for A321s and A330s. And I think we're also going to use them for our 787. So this was business that we had elsewhere previously. And when we did our A330 end sourcing, it gave us an opportunity to run a comprehensive RFP and get the best market terms that were available. And so we've done that. So it's really around providing component support for various pieces of equipment on the aircraft.
Helane Becker: And then for my follow-up question, so you have 1 aircraft that started service for Amazon. And I'm just kind of wondering if you could talk about, it's been what 2 weeks? Let's talk about the performance and whether you're going to in '20 -- I guess it would be 2025, right, break out how, break out that revenue line or include it in cargo and other revenue. I don't know. How should we think about, like, parsing that out, if at all?
Peter Ingram: Yes. Well, let me start and then Shannon can follow-up or correct me if I get anything wrong here. In terms of the operating performance, we're pleased how things have been going so far. It's great to get into a place where, instead of just incurring startup costs and no revenue, we're operating revenue flights and getting the business growing. Our on-time performance has been very good so far which is crucial in this arrangement. Part of the reason why we were sought out to bid for this work. So it's great to be up and running. In terms of how it appears on the income statement, I'll let Shannon go through it in more detail. But essentially, right now it's not particularly material. And so we're not breaking anything out. As it becomes more material over time, we're going to look at the best way to break it out. And Shannon can talk about what things that we're thinking about.
Shannon Okinaka: Yes. So for sure, Helane, it would be part of, other revenue but as it gets more material and right now we're anticipating 2025, to your point, we actually move ourselves into segment reporting. And we haven't quite finalized exactly how we define the segments but I would think that however we do the segment reporting, you should see more clearly what part of our direct revenues and costs are Amazon related. And we'll have to do some allocations in that accounting as well but it will come through the segment reporting piece of our SEC reports.
Helane Becker: Okay. When you -- just one other clarification question. When you report on Form 41 cargo volumes, will the Amazon volumes be included in that or are they separated?
Shannon Okinaka: I am going to have to follow-up with you on that question. Yes, we'll follow-up with you.
Peter Ingram: And Helane, just circling back on your first question, I want to clarify one thing. The Lufthansa technique agreement is covering A321 and 330 components. It's not 787. That's a different contract for that one.
Operator: Our next question comes from the line of Chris Stathoulopoulos with Susquehanna International Group.
Chris Stathoulopoulos: So Peter, as we think about 2024, I know you're still in your planning phase here but there's a lot of moving pieces here with the 787, A330s, where Japan will be at that point with its recovery. So as we think about all that and stage, gauge and departures, any color of how we should think about capacity for next year as we put those pieces together?
Peter Ingram: Yes. Let me start and then hand it over to Brent. I think we will. We've got an opportunity for some growth next year. We've got, 787s coming throughout the year. I think we have at least 3 in service by the end of the year and a fourth one coming late in the year, so there will be some contribution from that. It's -- I would like to think that as we get fully into the year, we're going to have all the 321s flying again. That's obviously subject to discussions for the reasons we've talked about earlier but we do feel better, as I mentioned in my prepared remarks, about the aircraft or the engine availability as we start getting some of those MR overturns. So we're not going to be providing guidance at this time but we do see things growing as we have the annualization of bringing Japan back this year and then the incremental fleet availability coming into next year. So it does position it as a year for capacity growth for us.
Chris Stathoulopoulos: Okay. And as a follow-up, Shannon, I think you said on the 50% impact for 4Q, you actually gave a percent per ASM number there. And is that just on a larger capacity base? Does that include any productivity within the network? Just want to understand how we're getting to that. I think it was 50% number by the end of 4Q of next year?
Shannon Okinaka: Yes, that was when I was talking about the pilot productivity and the number of excess pilots we have on property due to all of the training to get ready for the 787 deliveries and A230 freighters. So what it refers to is just that CASM impact from having that excess number of pilots versus 2019. And so we decreased that CASM impact by 50% from the end of '23 to the end of '24. So that's what that referred to.
Operator: Our next question comes from the line of Dan McKenzie with Seaport Global.
Dan McKenzie: A couple questions here. I guess my first question is really a schedules versus a revenue question with respect to California. So I guess, just setting aside the Maui wildfires, it looks like San Francisco and Los Angeles are cities where flying has not yet recovered to 2019 levels. And so I guess, my question is, it seems like an important part of the network. And I'm wondering what's holding the recovery back to these cities, from a network perspective. Is it a delay or is it structural in nature? And, if these cities could get back to a normal schedule, what would that possibly, what could that mean for revenue?
Brent Overbeek: Yes, Dan, frankly the scheduled cuts that we've had to make in terms of putting capacity back in are things that we've been really frustrated to do, frustrating for us financially, frustrating for our guests and are really almost exclusively related to A321 availability. And so where we've had to make some reductions, particularly in the Bay Area, these haven't been things that we wanted to do and we were going to have to temporarily suspend Long Beach, Maui for a period this winter. Not something we want to do but really kind of given where we're at with the Pratt situation are things that are really necessitated more than anything by that. If we look kind of in terms of kind of industry recovery of -- kind of California versus other metros, I'd say the Bay Area is maybe a little behind the basin and Seattle and kind of other big metros but not material as we look out at kind of industry volumes and particularly like looking at second quarter DOT data, maybe it's a percentage point or 2 behind some of the other metros in the Bay but overall, I would say just a little bit slower.
Peter Ingram: And just to follow-up on that, Dan, I mean, California is a super important market for us, Los Angeles is the biggest concentration of our flying outside of the Hawaiian Islands. If you look at what we've done since pre-pandemic, some of the flying we added in 2020 coming out of the pandemic were things like Long Beach to Maui and adding our flight to Ontario which weren't there before that time period. So, we're really again, once we have a full availability of our A321 fleet, I think if you looked at our flying 2019 versus what we'd like to be flying now, we'd be flying more, not less to California.
Dan McKenzie: Okay. And then, I guess, Peter, can you remind us of what percent of the bookings were sold through blocks with the travel, Japanese travel agencies say in 2019? And just, what is the expectation, going forward? And what could that possibly mean for revenue?
Peter Ingram: Yes, let me, let me start and then hand it over to Brent. I know, I don't have the specific percentage at my fingertips right now. Brent may be a little more willing than me to go take a stab at a number. What I would say generally is that -- the travel distribution market -- I mean, travel distribution market has been evolving globally. I think it has evolved more gradually in Japan than a lot of places. And there's been a lot of, third-party intermediaries that continue to be a big part of the distribution picture in Japan. That was starting to change. And one of the trends we have seen over the course of the last couple of years is as travel resumed internationally from Japan, the big travel retailers have not grown back their business as fast as they had. And we've made a lot of strides in advancing our own direct distribution, particularly over our websites and also but also working with some of the online travel agencies who distribute things on more of a digital platform than a brick and mortar platform. So while we expect the brick and mortar agencies to still be, play an important role and they're going to be important partners for us going forward. It is going to be less significant than it was. And we really think that the market was moving away from blocks and probably won't go back to blocks going forward. And net-net, I think that's probably a good thing for us.
Brent Overbeek: Yes, Dan, I think back to 2019, we were probably in the high 20s in terms of blocks. And, those were at -- they were at a discount to our average Japan revenue or Japan average fare as well, in terms of that commitment for giving for folks selling spaces, they were getting a little bit of a discount but as Peter mentioned, the market's evolved. We've seen a lot of changes in distribution there. It was an evolution that was happening. And the pandemic has clearly accelerated that. And so, I don't know that that's an endeavor we'll get back into but it is -- we are really focused on how we sell and how we distribute our products in Japan to make sure to ensure we're successful going forward.
Dan McKenzie: Yes. And, if I could just tack on one fast third question, going back to Peter's comment that the -- the direct distribution is a good thing. Can you elaborate just a little bit on what that means from a, your ability to commercialize fares differently than what you were able to do before?
Brent Overbeek: Yes, I think probably the biggest benefit, 2 benefits. One, we have a direct relationship with the customer and be able to sell them ancillary, sign them up for Hawaiian miles and get even more kind of future loyalty there. In terms of ancillaries themselves, the biggest benefit for us is, is selling extra comfort seats. And that was a product that we could sell-through, through a third-party and brick and mortar agencies but it was it was not very efficient or effective for us, the agency or the customer. And so being able to handle that directly with us when at time of booking or follow-up post booking is a much easier process. So the biggest benefit, I think we'll see is -- is greater extra comfort sales in Japan as we continue to grow there.
Operator: Ladies and gentlemen, as there are no further questions, I will now hand the conference over to Peter Ingram, President and CEO for closing comments.
Peter Ingram: Hello, again to everyone for joining us today. I obviously wish that, the third quarter's financial outcomes more appropriately reflected the outstanding work of our team. While we are financially secure to continue investing for the long-term, we know that we need to deliver better near-term performance in spite of the external challenges we face. The initiatives that are coming on now and early next year will help us achieve this. We appreciate your interest and look forward to updating you on our progress in the months ahead. Aloha.
Operator: Thank you. The conference of Hawaiian Holdings has now concluded. Thank you for your participation. You may now disconnect your lines.